Operator: Good afternoon, ladies and gentlemen, and welcome to AvalonBay Communities Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Your host for today's conference call is Matthew Grover, Senior Director of Investor Relations. Mr. Grover, you may begin your conference call.
Matthew Grover: Thank you, operator, and welcome to AvalonBay Communities Fourth Quarter 2025 Earnings Conference Call. Before we begin, please note that forward-looking statements may be made during this discussion. There are a variety of risks and uncertainties associated with forward-looking statements, and actual results may differ materially. There is a discussion of these risks and uncertainties in yesterday afternoon's press release as well as in the company's Form 10-K and Form 10-Q filed with the SEC. As usual, the press release does include an attachment with definitions and reconciliations of non-GAAP financial measures and other terms, which may be used in today's discussion. The attachment is also available on our website at investors.avalonbay.com, and we encourage you to refer to this information during the review of our operating results and financial performance. And with that, I will turn the call over to Ben Schall, CEO and President of AvalonBay Communities for his remarks. Ben?
Benjamin Schall: Thank you, Matt, and good afternoon, everyone. I'm joined today by Kevin O'Shea, our Chief Financial Officer; Sean Breslin, our Chief Operating Officer; and Matt Birenbaum, our Chief Investment Officer. Looking back on 2025, I want to begin by thanking our nearly 3,000 associates across AvalonBay for their dedication and commitment. It was a year that required us to be nimble, disciplined and highly focused on execution. Our teams rose to that challenge, consistently demonstrating our core values of integrity, continuous improvement and a genuine spirit of caring. As summarized on Slide 4, our operating results in 2025 reflect the quality of our portfolio, the proactive steps we've taken to optimize our portfolio's growth and the strength of our operating teams. Keeping existing residents satisfied and engaged was a clear priority, and that focus showed up in our results with high levels of retention and strong renewal acceptance serving as a ballast to overall revenue growth of 2.1% during the year. In fact, our turnover rate of 41% in 2025 and was the lowest in our company's history. My particular thanks to our operating teams for delivering a near all-time high Mid-Lease Net Promoter Score of 34, one of the metrics we utilize to measure customer engagement and with clear connections to retention and renewal outcomes. Our regional development, construction and operating teams were also successful last year in sourcing attractive development opportunities using our strategic capabilities and balance sheet strength when many competitors were on the sidelines. All in, we started $1.65 billion of projects with a projected initial stabilized yield of 6.2%. Funded with capital that we previously raised at a cost of roughly 5%, this investment activity sets the foundation for strong earnings and value creation in the years ahead. We have one of the strongest balance sheets in the industry and also pride ourselves in remaining nimble in capital sourcing and capital allocation. Among our peer set, we were the only one to raise equity capital in size in 2024, having raised almost $900 million of equity on a forward basis at an implied initial cost of 5%. And at the end of 2025, we are one of the only to repurchase shares in size, having acquired almost $490 million at an average price of $182 per share and an implied yield north of 6%. These repurchases were funded with incremental debt and the sale of lower growth assets, which in turn improves our long-term growth profile. In total, during 2025, we raised $2.4 billion of capital at an initial cost of 5%, positioning us to continue investing in our existing portfolio and in new development in 2026, which transitions us to this year with our key themes for 2026 summarized on Slide 5. First, on the operating side, while we expect fundamentals to improve as the year progresses, we are forecasting modest revenue growth of 1.4%, given the current job and demand backdrop. Given the supply backdrop, particularly in our established regions, we will not need much incremental demand to facilitate stronger revenue growth than assumed in our budget. And irrespective of the macro environment, we will continue to utilize our scale, particularly our investments in technology and centralized services to drive incremental growth from our existing portfolio. We're now 60% of our way towards a target of $80 million of annual incremental NOI from our operating initiatives, with an incremental $7 million of NOI slated for this year. In terms of development earnings, we will have a meaningful uplift in development NOI as projects lease up during 2026, with earnings partially offset by the funding costs from the $1.65 billion of profitable developments we started in 2025. Kevin and Matt will further detail this dynamic. In terms of new starts, we are restraining activity to $800 million, consisting of 7 projects with an average development yield of between 6.5% and 7%, providing a strong spread to both underlying cap rates and our cost of funding. And finally, our Board approved an increase of our quarterly dividend to $1.78 per share, which after the 1.7% increase continues to position us with one of the more conservative payout ratios in the industry. Delving a little deeper into the setup for 2026, our outlook assumes a job growth environment that is slightly stronger than 2025 but still relatively modest. As shown on Slide 6, NABE is currently forecasting 750,000 net new jobs in 2026. As the year progresses, enhanced economic and policy certainty, the benefits from recent tax legislation and the potential for further Fed easing are among the catalysts that could translate into higher levels of business investment, improved consumer confidence and stronger hiring in our key resident industries. Turning to Slide 7. Demand for apartments will also be supported by rent-to-income ratios, which are now below 2020 levels in our established regions, given that incomes have grown faster than apartment rents over the past few years. Demand will also continue to benefit from the relative attractiveness of renting versus home ownership, which is particularly acute in our established regions, where it's over $2,000 per month more expensive to own a home, given home price levels, mortgage rates, and the increases in other cost of homeownership, such as insurance and property taxes. And then there's the supply outlook with supply in our established regions expected at only 80 basis points of stock this year, levels we have not seen since the period coming out of the GFC. And given the challenges of getting entitlements and how lengthy the process is in our established regions, we expect this supply backdrop to serve as a tailwind for us for the foreseeable future. Balancing these series of dynamics, Slides 9 and 10 provide our outlook for 2026. We entered the year with a high-quality portfolio concentrated in suburban coasts with historically low levels of supply, a differentiated development platform and one of the strongest balance sheets in the REIT sector. And while our guidance assumes modest growth in 2026, we are well positioned to generate meaningful earnings and value creation as operating fundamentals improve and development earnings ramp into 2027. Sean will now walk through our operating outlook in more detail.
Sean Breslin: All right. Thanks, Ben. Moving to Slide 11. The primary driver of our expected 1.4% same-store revenue growth is an increase in lease rates with incremental contributions from other rental revenue and underlying bad debt. We're expecting year-over-year revenue growth in the second half of the year to exceed what we produced in the first half, with slightly better job growth and improved mix of jobs, the cumulative effect of lower supply and softer comps supporting better rate and revenue growth. Our forecast reflects like-term effective rent change of 2% for the full year 2026, with the first half expected to average in the low 1% range and the second half improving into the mid-2s. In terms of recent leasing spreads, while Q4 performance was modestly below our expectations, it improved in January compared to both November and December. We expect continued sequential improvement in February and March, and renewal offers for those months were delivered in the 4% to 4.5% range. For other rental revenue, we're continuing to drive incremental growth from our various operating initiatives, but it will be partially offset by lower income due to select legislative actions in 2025. Excluding those headwinds, other rental revenue growth would have been closer to 5% versus roughly 3.5% reflected in our outlook. Turning to Slide 12 to address regional trends. Revenue growth of roughly 2% in New York, New Jersey is primarily driven by healthy contributions from New York City and Westchester, which are projected to be in the mid- to high 3% range. Demand in Boston has been impacted by job losses in the back half of 2025. Our outlook reflects a projected year-over-year decline in occupancy of approximately 40 basis points, the majority of which is expected to occur in the first half of 2026, given our very strong occupancy level in the first half of 2025 and another 40 basis points from a projected year-over-year decline in rent relief payments. New apartment deliveries are projected to decline by about 30% to 4,000 units in the market, which will support better revenue growth when demand picks up. In the Mid-Atlantic, job losses in the back half of 2025 were the highest of our established regions. Our outlook reflects just under 1% revenue growth for the year, with negative net effective lease rate growth during 2026, offset by a roughly 20-basis point improvement in occupancy, approximately 30-basis point reduction in underlying bad debt and 30-basis point contribution from other rental revenue growth. New apartment deliveries in the market are projected to decline by roughly 60% to 5,000 units. So the outlook could turn more positive in the second half of 2026, if we see an improvement in job growth. Moving to the West. Northern California is projected to produce mid-3% revenue growth, supported by built-in lease rate growth of 1%, relatively stable occupancy at approximately 96% and continued healthy rate growth throughout 2026. New apartment deliveries are also projected to decline by about 60% to 3,000 units in that region. In Seattle, total employment was flat for the last 6 months of 2025. Our outlook reflects modest net effective rate growth throughout 2026, an approximately 20-basis point reduction in occupancy and a 40-basis point contribution from growth in other rental revenue. New unit deliveries are projected to decline by about 50% to 5,000 units, which will support improved performance as we move through the year. And in Southern California, our outlook reflects revenue growth in the mid-1% range, driven by stable occupancy and approximately 20-basis point contribution from lower bad debt, driven primarily by L.A., and incremental effective rate growth projected primarily in Orange County and San Diego. Unit deliveries in the region are projected to decline by about 40% to 11,000 units, with the most meaningful declines projected to occur in the L.A. market. And lastly, in our expansion region, Southeast Florida will remain the strongest region with revenue growth of roughly 1.5%. Denver suffered from the combination of 0 net job growth during 2025 and the delivery of approximately 16,000 new apartments. The outlook for '26 reflects a challenging environment with modest job growth and another 9,000 new units being delivered into the market. Built-in lease rate growth is minus 1%, and rents are projected to continue to decline throughout the year. And then moving to the outlook for operating expense growth on Slide 13, we expect same-store operating expense growth of 3.8%, 130 basis points above our organic growth rate of 2.5%. In terms of the items projected to drive growth higher in 2026, the phaseout of property tax abatement programs will add roughly 70 basis points. In addition, we settled a very favorable property tax appeal in Q4 2025, which established a much lower assessment and led to a meaningful refund, but is creating a 50-basis point headwind for 2026. In addition, the net impact of operating initiatives is contributing about 10 basis points as the added costs from our AvalonConnect offering is mostly offset by incremental labor efficiencies. And then in terms of the quarterly cadence of OpEx growth, we're expecting heavier growth in the first half of the year before it moderates in the second half, driven primarily by utilities, including the impact of credits received in the first half of 2025, benefits costs and maintenance-related costs given our lighter spend in the first half of 2025. Now I'll turn it to Kevin to go deeper into our earnings outlook for the year.
Kevin O'Shea: Thanks, Sean. Turning to Slide 14. We show the building blocks of our 2026 core FFO per share. For internal growth, our guidance reflects a projected $0.04 increase from same-store NOI, partially offset by a $0.03 decrease from overhead, management fees and JV income. For external growth, there are a few components. We expect a $0.10 increase in net development earnings , which I'll discuss further on the next slide as well as a $0.07 increase from our Structured Investment Program and 2025 share repurchases, which consists of $0.02 from our SIP program and $0.05 from our recent buyback activity in 2025. These sources of external earnings growth are offset by a $0.07 decrease from refinancing activity across 2025 and 2026, and a $0.10 decrease from transaction activity. Here, I've emphasized that our recent elevated transaction activity and associated impact on earnings reflects our having acted on some unique opportunities last year, including the timely sale of a portfolio of assets in a challenged submarket in Washington, D.C., and acquisition of a tailored portfolio of communities at a very attractive cost basis in Texas. We don't execute meaningful trades of that nature very frequently, but we do take advantage of them when opportunities arise. Of this $0.10 in earnings headwinds for transaction activity, $0.06 is timing related, driven primarily by the impact of selling assets in late 2025 and in early 2026. And the remaining $0.04 is the result of selling slightly higher cap rate assets, including in D.C., in order to better position the portfolio for stronger growth over time. Turning to Slide 15. Development is expected to contribute $0.10 or 90 basis points to earnings growth this year. This is lower than is typical for us and is driven by 2 factors. First, due to lower completion and ramping starts last year, the proportion of communities generating development NOI as a percentage of the total development underway is lower than normal. This is reflected in $0.33 of expected earnings growth from our 2026 development communities as well as a handful of other communities that stabilized in 2025 and are now in our other stabilized bucket. And it compares to incremental funding costs of $0.33, attributable to the 26 communities that are under construction today as shown on Attachment 9 of our earnings release, and 8 communities that are expected to start construction in 2026. The second factor relates to a projected $340 million increase in construction in progress or CIP, for 2025 to 2026. This temporarily dampens earnings growth in 2026 because our 5% initial funding cost exceeds our required capitalized interest rate under GAAP during construction, which is currently 3.7%. Therefore, we project a capitalized interest benefit of only $0.10 this year, which is a few cents lower than if our capitalized interest rate equaled our initial funding cost of 5%. Nevertheless, our decision to lean into accretive development does set the stage for further outsized earnings growth in 2027 and beyond as current development projects are completed and stabilized at yields in excess of 6% and accretion steps up, which Matt will discuss more fully.
Matthew Birenbaum: Exactly. Thanks, Kevin. As shown in the chart on the left on Slide 16, we started $2.7 billion in new development over the past 2 years at yields 110 to 130 basis points higher than the cost of capital sourced to fund those new projects, and we expect an even wider spread on the $800 million in starts we're planning for 2026. Because our development activity can vary substantially from year-to-year in response to market opportunities and capital market conditions, the flow-through of this activity to earnings can also vary in any given year. The majority of the earnings benefit is realized once all those new apartments are occupied. And as shown in the middle chart on this slide, we are still early in this ramp-up in 2026 with occupancies growing from 1,812 homes in '25 to roughly 3,175 homes this year. We expect that to grow further still to over 4,100 occupancies in 2027. As you can see on the chart on the right, this translates into $47 million of development NOI this year and an incremental $75 million of additional NOI next year. Slide 17 takes a closer look at the expected 2026 lease-up activity, over 90% of which is coming from 11 communities including 8 where we have already achieved first occupancy and have active leasing underway and another 3 set to open in Q1 or Q2. All of these assets are in suburban submarkets and more than half of the occupancies are coming from the New York, New Jersey region and South Florida, 2 of our most stable regions with above-average expected same-store performance for the year. In addition to the earnings boost we expect from these communities in '26 and '27, we're excited about their long-term positioning for future cash flow growth as brand-new assets built and designed by us to respond to future demographic trends. We are including more larger format homes designed for working from home in our unit mix, including 8 communities with a BTR component and many feature excellent infill locations walkable to nearby retail. And with that, we're ready to open up the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Eric Wolfe with Citi.
Eric Wolfe: You mentioned that renewals are going out in the 4% to 4.5% range. I guess, first, could you talk about whether you expect to achieve 4% to 4.5% on these renewals or the take rate will be lower? And then second, what changed between now and the 2.5% you achieved on renewals in January? It just feels like there's been a bit of a jump over the last month or 2. I'm just wondering what caused that.
Sean Breslin: Yes, Eric, I can talk a little bit about how we see the rent change forecast playing out throughout the year. But to your specific question, what I indicated in my prepared remarks is that the renewal offers for February and March were out in the 4% to 4.5% range. As you probably know, they always settle at something less than that, the historical range. The settlement is probably 100 to 125 basis points of dilution or something like that depending on the market environment. But that's what's happening with the renewal offers and where you think they might settle. In terms of the overall forecast, just to provide some commentary for '26, we're expecting it to come in around 2%, which is only about 30 basis points above what we actually realized in 2025. Our assumption is that the renewals will basically average about the same as 2025 sort of in the mid-3% range. And we're expecting move-ins to improve by roughly 70 to 80 basis points in 2026 as compared to 2025 so that it comes in instead of being modestly negative, it comes in around flat for the year 2026. And for context, and Ben referred to this as well, we are expecting a relatively similar economic environment as '25, but about 40% less supply. So we are forecasting sequential improvement quarterly until we get to Q4. So that kind of gives you the broad picture of the full year. And then as it relates to the first half versus the second half outlook, we are expecting the first half performance to be pretty similar to what we experienced in the second half of 2025, which was roughly basically 1.2%. We're basically about the same level as we come into the first half of 2026. And then in terms of the expected improvement in the second half versus the first half, it's really driven by 4 factors. First is, as Ben noted, a slight uptick in job growth, which is expected to occur in the second half of the year and a slightly better mix of jobs, but also importantly, sort of the cumulative effect of 40% less supply and the absorption of some of the standing inventory from the end of 2025 carrying through the first half of '26. And then lastly, it's just some softer comps as we get into the back half of 2026, given what we actually achieved in the back half of 2025. So tried to provide a little bit of an overview as to how we're thinking about it overall. And hopefully, that's helpful in terms of the trends we're expecting.
Eric Wolfe: Yes, that's very helpful. I guess the question really is sort of how predictable do you think that sort of ramp is because it's just a bigger ramp right from the first half to the second half. And so we've seen supply, I think, linger a bit longer than people expected, especially in some of these Sunbelt markets, which you're not in. But I guess the question is, how predictable do you think the sort of this impact from supply is going into the second half of the year? And how much the supply or the impact of supply really drop off in the back half?
Sean Breslin: Yes. No, I mean that's what our forecast reflects. And in part, why we're expecting the first half to be a little bit weaker is some of that lingering standing inventory in some markets that's carrying over from the back half of '25 through the first half of '26, even though deliveries will be down meaningfully in both the first half and the second half, there is some standing inventory to absorb. And once that occurs, then there are just much fewer options for people to choose from. And as I noted, particularly on the move-in side, which is where we expect 60, 70 basis points of improvement relative to 2025, that's where you're going to see it the most. We expect renewals to be relatively flat, if you think about it for '26 relative to '25. So I think that's -- in terms of our confidence in that, that's what our models reflect at this point in time. And certainly, we'll be able to update you as we go through the year. But that's part of the reasons why we -- part of the reason why we look at it that way in terms of first half versus second half.
Benjamin Schall: And Eric, on the demand side, just to give you some more color there, we're not assuming a huge pickup in terms of job growth this year. If you look at the NABE figures, ended the year at roughly 20,000 jobs per month. That is a similar place as we come into 2026 and then builds into the range of 70,000 to 75,000 jobs as we get into the back half of 2026.
Operator: Our next question comes from the line of Steve Sakwa with Evercore ISI.
Steve Sakwa: Look, I know in '25, you guys had to take a couple of bites at the guidance and make some reduction. So as you thought about setting guidance for this year, maybe what lessons did you learn in '25 that you carried over this year? And when you kind of look at Page 14, I guess, is the building blocks, are there some of those figures that you have more confidence in their upside? And I guess, which ones are you a little bit more worried about having downside risk?
Benjamin Schall: Sure, Steve. I'll start on the kind of guidance approach question and then others can weigh in on the upside, downside scenarios. Our approach to guidance remains as it has been. We go through a very detailed process, particularly at the beginning of each year, and it's also as part of our midyear reforecast. And we're looking at the best data that we have available at that point in time. We naturally think through upside scenarios, downside scenarios, but we use all that to come up with our best estimate looking forward out over the next 12 months. And then importantly, provide that transparency to investors so that you understand what's underneath those assumptions, and we can discuss those as the year unfolds. Yes. In terms of looking at Slide 14, the development earnings, I put that very much in the concrete category. These are -- and Matt talked about this in his commentary, the earnings coming online this year, those are projects that are under construction. A lot of them are already in their initial phases of lease-up. We've got pretty good clarity about how that income will roll in over time. We've prefunded that activity. So I put that in the category of fairly baked in earnings to attribute to investors as the year progresses.
Sean Breslin: Steve, the only thing I would add is, for the most part, as it relates to sort of the core same-store portfolio, I think the main question is the demand question. And depending on how you look at the outlook from an economic standpoint, the upside to downside is really tied to demand there. And so we saw job growth accelerate more quickly with the reductions in supply, like I mentioned, in the Mid-Atlantic with supply coming down to 60%, that could give you a little bit of a springboard to better performance sooner than the second half. If that were the case, then you start to see more of that benefit accrue into 2026 as opposed to 2027. And obviously, the downside scenario is if we saw a significant weakening in the environment from where we are today, then that would be sort of your downside case.
Steve Sakwa: Okay. And then I guess a follow-up on the development, maybe just for Matt. I know you guys kind of cut the starts number in half this year, and you sort of raised the hurdle rate a bit. Is the reduction more a function of enough deals don't pencil at that 6.5% to 7%? Or was it more of a conscious decision to just say, given the choppy environment, we just don't want to start $1.5 billion of projects even if they make the hurdle, just given the uncertainty in the environment today?
Matthew Birenbaum: Steve, it's Matt. It's a little bit of both. I mean we look at it very much -- it starts bottom up, where are the deals, what's going on in our pipeline and kind of how big is that opportunity set? And then there is a top-down piece as well, which is does that align with kind of our funding capacity and cost. So usually, particularly now that we have this DFP, the developer funding program, we can see our AvalonBay starts coming a year or 2 in advance or 3 years -- 4 years in advance in some cases because of the entitlement process. But then we also have the ability to fund other developers through our developer funding program. Those deals come more quickly. And so the last couple of years, our starts list has included both deals we know about in our pipeline and kind of an allowance for quick start business, which could be DFP or it could be in this environment, deals that other developers just can't get capitalized and have given up on and are now willing to sell, sometimes selling the land at a loss. We've done a few of those deals, too. So a lot of it is just we're going to the year expecting less of that quick start business to underwrite. And then some of it is, yes, I mean, we are looking at demanding higher yields, and we are seeing that. So some of that's in the geographic mix as well. The starts we plan this year are much more heavily weighted to our established East Coast regions. Last year, it was maybe 40% West Coast, 40% expansion, 20% established East. This year, it's like 70%, 80% established East and a little bit of expansion and really nothing on the West Coast. So -- and those regions tend to have higher yields.
Operator: The next question comes from John Pawlowski with Green Street.
John Pawlowski: Matt, I want to continue that conversation. The $800 million in starts this year, how much have you had to lower pro forma rents just given the softness in market rents over the last 6 to 12 months, even in those established East Coast regions?
Matthew Birenbaum: Yes. It's interesting, John. There are a couple of deals. Some are pretty much even. What we've seen in a couple of cases, actually, we just started a deal in Q4 in Northern New Jersey, Kanso Parsippany. And that deal is a high 6s yield and when we underwrote it kind of in due diligence 1.5 years ago, 2 years ago, the rents were higher and the costs were higher. And what we saw is when we went to our final, what we call Class III budgets, the hard cost came in and the rents are down a little bit. And those 2 more or less washed out so that the yield kind of stayed the same. So that's what we're seeing for the most part with that particular mix of business is a little bit less rent and a little bit less cost. And in some cases, the cost reduction is more than the NOI reduction and, in some cases, not.
John Pawlowski: Okay. Just what I'm getting at is I'm very surprised about how high the yields are. And I know you guys are very good at what you do. But if there's high 7% yields versus, I don't know, maybe low to mid-5 cap rates in these markets, if that's true economics, we should expect to see development start to reaccelerate across your markets. So is there anything idiosyncratic in this $800 million pipeline that's not representative of market yields? Or do you think that it's a representative sample size?
Matthew Birenbaum: It is more select. I mean it's hard -- there aren't as many deals that we're finding that can achieve that spread, but I'll say, we're finding more than our share and it's been our view for a while that we can get an expanding share of a shrinking pie here. A lot of these, John, are deals we've been working on in the entitlement process for years. And there are kind of unique factors there. There may be an affordable component. There may be a pilot, not a New York City pilot, but a long-term pilot. There may be other things there that are difficult for folks that haven't been in this business and in these markets on the ground for years and years to kind of reconstruct. So I do think we're seeing a little more supply in some of these more supply-constrained East Coast jurisdictions, but we're getting a bigger share of it. And our volume is dropping, too. So I'm not overly worried that we're going to suddenly see a flood of supply that a lot of people can recreate it.
Benjamin Schall: And John, just for the broader listening audience out there, I just want to correct, we're targeting for those $800 million of projects, yields in the 6.5% to 7% arena relative to cap rates in and around sort of circa 5% today.
John Pawlowski: Okay. Last question for me. Should we expect additional pressure from property tax abatements in 2027 or any other pressure from utility costs in AvalonConnect? Or is 2026 the peak of the pressures, if you will?
Sean Breslin: Yes, John, this is Sean. In terms of the abatements, yes, we do expect some level of headwind from abatements to continue, but it does move around from year to year, but we do expect that for the next few years here in terms of that element. In terms of AvalonConnect, there's 2 components there. There's this bulk Internet piece, there's a smart access piece. The bulk Internet piece, we pretty much have stabilized. There's a little bit of lingering cost there for 2026, and that pretty much phases out. The smart access component, which is far less impactful, will continue for probably another 18 to 24 months, but it's relatively modest as compared to the bulk side of it.
Operator: Our next question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets.
Austin Wurschmidt: When you guys think about the remaining gains capacity, are share buybacks or paired trades from the established regions into your expansion regions more attractive today? And does the pullback in development funding needs provide any additional capacity for you for share buybacks without either levering up or evaluating paying a special dividend?
Kevin O'Shea: Austin, this is Kevin. I'll start. Others may want to jump in here. What I'd say is, this year, our capital plan contemplates only modestly sourcing capital from disposition activity. So that does leave us with a healthy level of asset sales capacity to fund incremental investment activity, whether it's for a share buyback or incremental development activity before we have to worry about a distribution obligation. So we do have capacity to sell a very healthy level of additional assets and retain the capital for future investment purposes.
Benjamin Schall: I'll add. Kevin, just to clarify, in our baseline budget, we're not assuming any share buyback activity. We do still very much see it on the menu of potential opportunities for this year. And to your question and comment, the potential opportunity of selling slower growth, higher CapEx assets out of our existing portfolio and then redeploying that capital into share buybacks in today's range in sort of the low 6s, one, not only accretive, but also helps position the go-forward portfolio for stronger growth.
Austin Wurschmidt: And then can you share what the cap rate was on the asset sale in San Francisco in January and then provide an update. I think you had another $235 million or so of pending sales that were previously under agreement as of late last year.
Matthew Birenbaum: Yes. Austin, it's Matt. So the asset we sold in San Francisco last week actually, that's the low-5s cap. There's a bigger spread there between the cap rate and the yield given that we've done that for a while. So there's a Prop 13 overhang there. But that's also an asset that had some pretty heavy CapEx needs in front of it. So you kind of have to factor all that into kind of what I'd say is the economic cap rate, so to speak, kind of in the low-5s. The ones that we -- we have a couple of others either in the market or working that are -- some are a little bit higher than that in terms of the economic cap rates, some are a little bit lower. We'll see where they clear the market. We have at least one more that we expect to close here this month, it's probably around the same kind of low 5s cap rate, a little bit less of a spread there. So the yield is probably not as high as that Sunset Towers. And then we have a couple of others in the market working where we'll see there. It really is -- varies a lot based on what market you're selling into and I will say this, everything we have either planned for sale this year or currently in the market are all older high-rise assets and most of them are in urban jurisdictions. So they are very much aligned with our longer-term portfolio goals.
Sean Breslin: Yes, Austin, one thing I'd add on that San Francisco assets specifically, is that's a 50-plus year old high-rise asset with some heavy CapEx subject to rent control. So it's a little bit of an outlier for our portfolio, not necessarily representative of the rest of the assets that we own in the city.
Operator: Our next question comes from the line of Jana Galan with Bank of America.
Jana Galan: Following up on the renewal rates in the fourth quarter in January, were there any specific markets that kind of drove the decline versus the third quarter? I know you mentioned layoffs in Boston. I'm just curious if there's any markets where you're willing to maybe negotiate a little bit more to protect occupancy?
Sean Breslin: Yes. Good question. It's Sean. I would say, in general, what we see is a little bit of moderation in Q4 because seasonally, you're seeing the asking rents for move-ins come down, and there is a correlation between the renewal rates you can achieve and what -- think about it, what people see on the website for the deal down the street. So as you had softer move-ins, and usually a little bit softer in Q4 of this past year, you see it trend down. So it was more broad-based than individual. I would say the markets where we probably negotiated more are some of the softer markets that I mentioned earlier in terms of the Mid-Atlantic, as an example, Boston and then Denver probably the outliers to the weaker side as compared to the average.
Operator: The next question comes from the line of Jamie Feldman with Wells Fargo.
James Feldman: Can you talk more about the other income drag from the legislative activity last year? And then also, I guess, along those lines, I mean, it's a midterm election year, affordability is a hot topic. Any other initiatives you guys are watching closely? I know there's a Massachusetts potential ballot initiative. Just what should we keep our eyes on this year from the political front?
Sean Breslin: Jamie, it's Sean. First, on the other rental revenue side, there's really 2 or 3 drivers to it are probably the ones that are most meaningful to call out, legislation passed in Colorado that is impacting the ability to charge certain fees or cap certain fees that's flowing through other rental revenue. In addition to that, by the way, we didn't call this out on the OpEx slide, but it also limits our ability to recover some utility components as well, which is about a 15-basis point drag in terms of OpEx growth. It wasn't something, again, we called out on the slide. And then the other one is new legislation in California, AB 1414 that provides residents with the option to opt out of a bulk Internet program to the extent there is another offering available at the community. We don't know exactly how many people will opt out, but we have looked at other programs for residents who have an opt-out right like rent control program, et cetera, and modeled it to reflect that type of outcome. Those are the 2 primary ones that are dragging. There's a couple of other small things, but those are the 2 big ones. And then as it relates to kind of the forward looking in terms of the election, what I'd say is, yes, we're keeping an eye on Massachusetts. I think I mentioned on the last call, the way that ballot initiative was drafted is pretty onerous. And so onerous enough that already various political leaders in Massachusetts have already come out and said that they are opposed to it, completely opposed to it. So we will have to go through a process here to potentially defeat it, but we do believe that relative to other initiatives we fought like in California, this one probably is set up to be a little bit easier to defeat. And then other things we're keeping an eye on are things that are similar to what happened in Colorado or California, where people are being thoughtful about not going directly at things like rent control, but wanting to make sure there is increased transparency and disclosure around the fees that you're charging for different things, how do you recover utilities, et cetera. Those are the ones that we're keeping an eye on and the National Multi-housing Council as well as a lot of the various associations around the country are very engaged in those types of activities to make sure people are aware of what's good legislation versus not.
James Feldman: Okay. And then I guess just going back to the comments on New Jersey, I think you had mentioned rents are lower, but costs are lower on new developments. You've got a decent amount of lease-up in those markets. And I think your latest start is also in New Jersey and then your stats over the year on the weaker side of your markets. Can you just give more color on your expectations both on the lease-up side, timing of getting those projects done and even the new start? What gives you confidence to start there, given there is so much supply coming in that market?
Matthew Birenbaum: I guess I can start and then maybe Sean can talk as well about the stabilized portfolio. On the -- there's not necessarily that much supply coming there, maybe a little more than what we've seen in the past. But it is still one of our strongest markets. And it's not as strong this year as New York City, but it tends to be within New York City as a core bit, obviously, particularly Northern New Jersey. So our lease-ups there are doing fine. They're generally tracking on plan. And in general, our lease-ups actually picked up a little bit here. We saw in Q4 across our whole lease-up book, which includes 3 or 4 in New Jersey, average leases in Q4, which is a slow quarter, was about 20. And in January, we actually did 26 across the 9 deals or 8 deals -- 7 deals, whatever we have in lease-up. So we're continuing to get good traction. We basically will price to get the communities full before we have our first renewal. So typically within a year to 15 months. And we'll kind of adjust the pricing if needed to meet the pace that we're looking to meet. What we are seeing is, like last year, we had a completion in New Jersey that finished, I think, 20 or 30 basis points above pro forma. That's what we've seen in general over the last couple of years. I'd say where we are today, the deals that we have currently in lease-up, they're tracking on pro forma. So not necessarily beating pro forma anymore, but we still feel good that the initial spread that we underwrote is holding.
Sean Breslin: Jamie, just in terms of the specific deals, we had 3 deals with lease-up activity through Q4 into January. So through Q4, kind of average monthly pace was around 20 a month. When you get into January, the 3 deals, Avalon Parsippany did 32, West Windsor did 20, Avalon Wayne did 24, which are pretty good numbers in January, where it was also pretty darn cold. So those are pretty good numbers in our view, above what we would have expected in January, frankly.
James Feldman: Okay. That's good to hear. It's better to be indoors than outdoors, I guess, leasing space.
Sean Breslin: Very true.
Operator: The next question comes from the line of Rich Hightower with Barclays.
Richard Hightower: Curious if you can give us an update on your views around the D.C. market and surrounding markets and the DOGE impact. I think maybe it was a little bit understated as of a quarter ago. So where do we sit today with that?
Sean Breslin: Yes, Rich, it's Sean. I can start and then others can add, if needed. I mean the fundamental issue has been you had lots of jobs. If you look at the last 6 months actual, with the data trued up and everything, we lost about 60,000 jobs across the Mid-Atlantic. Yes, that's the primary driver of the softness. So I think the question that people have asked, and there's not a 100% clear answer is, is there more to come or not? When we were talking about this earlier in 2025 back in Q2 and even Q3, the data was certainly lagging and it takes time for it to filter through. So we think we got '25 relatively captured, but there could be another revision here soon, but we'll have a good feel for that. I think the way to think about the Mid-Atlantic is, obviously, the impact of that has been meaningful in terms of demand in the market. What we feel a little bit better about is, one, as I mentioned earlier, about a 60% reduction in deliveries in 2026 as compared to 2025. That is a very large number. So if we start to see at least some stabilization from the federal government and other major employers or even some modest growth, without that kind of supply, particularly as we get to the back half of the year, things should start to look better. And if we see an uptick in job growth beyond what we've already forecasted, then it's potentially a market that could have some upside to it. I think what Ben noted is there needs to be a little more business confidence as it relates to making investments in a stable environment. And consumer confidence as well, just so they feel comfortable making those commitments. But I think it's a little bit of a TBD, but we're expecting basically the first half of this year to look a lot like the second half of last year.
Richard Hightower: Okay. That's helpful, Sean. And then I guess the second question is just maybe more general about the transaction environment. When we hear on your call and some of your peers calls that market cap rates, in many cases, are 5% or even in the 4s in certain markets. Just curious what is driving that if we sort of segment it between capital flows, debt availability or underlying optimism around fundamentals. What do you think is sort of driving that cap rate compression where we sit today?
Matthew Birenbaum: Yes. This is Matt. I guess I can take that one. It is a little bit surprising, but we've been saying that really for the last couple of years. So I think you've got a couple of different crosscurrents here. I know a bunch of folks were just out at NMHC last week. So probably the biggest recent shift in favor of supporting cap rates where they are is the debt markets, which has become very competitive, very deep and liquid. And so spreads have come in quite a bit. And so for buyers out there, they're levered buyers, they definitely have access to lower cost and larger check size debt than they did a year or 2 ago. That is, to some extent, counteracted by a little bit of headwinds in the numerator, which is obviously the NOI being capped with relatively flattish NOI growth, positive in some markets, negative than others. And then the third piece of it is just investor sentiment and equity, and there is a lot of equity that's on the sidelines that's anxious to get in. And we've seen that really growing for the last couple of years. There's dry powder out there. It's looking to be deployed. There's a lot of people whose livelihoods depend on it. So what we continue to see is this bifurcated market where for the assets that check the boxes, the bid is deep, the bid is robust and buyers are optimistic enough that they will underwrite through another year or so of operating softness to what they expect to be a pretty robust recovery 2 or 3 years from now. But then there are another subset of assets where they're only going to transact if there is a wider spread between the debt rate and the going-in yield or cap rate and a lot of those are the deals that are not transacting.
Benjamin Schall: Rich, maybe one addition to it, just to give you a little bit more market color. I mean we're not overly active on the buying front right now, but obviously, we're attuned and do selectively look at deals and the types of assets that we would focus on, people are still stepping up and paying cap rates that are in the [ 4.7%, 4.8% ] type of range.
Operator: The next question comes from the line of John Kim with BMO Capital Markets.
John Kim: I know it's not your biggest market, but when you look at your expectations for same-store revenue in Denver, it's noticeably lower than other expansion markets and what you have delivered last year. So I'm wondering what's driving that for you?
Sean Breslin: Yes, John, this is Sean. As I mentioned in my prepared remarks, I think 2025 was a tough year for the Denver market. Essentially 0 job growth and significant deliveries. This year, what we're expecting is very modest job growth, consistent with the outlook that Ben provided earlier but there's still another 9,000 units to come. So you've got some hangover inventory from 2025 that was delivered but not absorbed. And then you add another 9,000 units to that with very modest job growth, that's a simple story of just too much supply given the relatively anemic demand and that's the near-term outlook for that market.
John Kim: And is this market more vulnerable to tech layoffs than others?
Sean Breslin: I'm not sure on a relative basis, it would be, given the concentration of tech jobs in Denver is below some other regions we're in like Seattle and Northern California per se. It would have exposure, but I'm not sure that it punches above its weight class in terms of exposure to the tech.
Operator: Our next question comes from Nick Yulico with Scotiabank.
Nicholas Yulico: I just wanted to go back to the decision to have lower development starts this year. How much of that was driven by a focus on improving your FFO growth given some of the sort of near-term dilutive aspects of development? And I guess, specifically, I think, Kevin, you're kind of saying that there was some benefit then to 2027 from doing that. So if you could just flesh that out.
Kevin O'Shea: Sure, Nick, it's Kevin. I'll offer a few comments. Others may want to add some additional color. I'd say, really, it wasn't a factor at all in our decision about the development start volume for this year. Our decision in that regard, as we discussed earlier, was really, as Matt outlined, driven by our own sense about the opportunity set that we have within our own portfolio, what we think we might be able to achieve through our DFP program and the related funding costs in terms of the economic value add that, that activity will provide for our shareholders over time. I think in terms of the dynamics that I referenced in my scripted remarks in regard to kind of Slides 14 and 15, I think what we're trying to provide there is a little bit more transparency to investors on the -- really the several dynamics that determine development earnings, which is not merely the NOI yield and development NOI that we received from development activity as it stabilizes and the associated funding costs but also the impact of capitalized interest as it flows through. That seems to be a dynamic that based on our own discussions with investors hasn't always been uniformly well understood. And so we thought we'd use this as an opportunity to provide a little bit more clarity on that for investors. But in terms of informing our capital allocation decisions, that's not really a factor at all. It's been a dynamic that we've had to reflect in our GAAP financials really over our 30-year history. And it's kind of sometimes it's been a plus and sometimes it's been a negative, but at the margin, it all washes out and really what drives our core FFO growth over time is not only what happens to the same-store book, but importantly in this regard, the underlying profitability of our development activity, which continues to be quite attractive. And so for us, I think it's really just looking at the incremental yields versus the incremental funding costs and the opportunity set that's driving our sizing of the opportunity for development starts this year.
Nicholas Yulico: Okay. And then I guess my second question is if we stay in this higher interest rate world where you're having that impact from capitalized interest versus borrowing cost, harder to raise maybe common equity where you want to raise it. Is there an approach perhaps of going towards, I don't know if the company has considered doing a fund, doing more JVs as a way to source capital and also minimize some of this earnings dilution that is coming from the development on the balance sheet.
Benjamin Schall: Nick, it's Ben. Less your last point there about dealing with the earnings dynamic, but in terms of your broader question, is private capital something that we think about? Yes, we -- I do think about private capital as being a tool in our toolbox. We actually have a large joint venture via Invesco with a state pension fund for a number of our New York City assets. People remember back long enough in Avalon-based history, we did have funds at that point. Nothing we're actively working on at this point, sort of the channels that we've generally thought about. One would be in and around a portfolio allocation objective where there could be a pool of assets where we want to monetize a portion of those assets, but importantly, retain the operating density in the market. Those could be a pool that we look to put into a joint venture or a private capital vehicle. And the second bucket would be in and around external growth, right, as we think about funding potentially a larger pie of activity with capital that's in addition to our mothership capital.
Kevin O'Shea: And maybe, Nick, just to kind of add a little bit more color on what we can do year in, year out from an investment standpoint without accessing the equity markets or levering up. The way we tend to think about our capacity is in terms of what we describe as the leverage to fund capacity through the sum of free cash flow, leveraged EBITDA growth and asset sales before we hit our distribution obligation. That typically averages around $1.25 billion a year. So if you think about what we can do on the investment front each year typically is around $1.25 billion of development starts, more give or take that we can do year in or out of the opportunity set there. So by starting $800 million this year, we are quite deliberately allowing ourselves room and capacity to do more if it makes sense either in the form of our buyback activity or development activity. So we do have that flexibility.
Operator: Our next question comes from the line of Anthony Paolone with JPMorgan.
Anthony Paolone: First question relates to just the series of initiatives and announcements coming out of the White House to prompt more for-sale housing activity, it seems. Any of those that you think might have teeth or that you're watching more closely in terms of it impacting your portfolio and potentially prompting move-outs or having implications back on rents?
Benjamin Schall: Something we're monitoring, watching. But the short answer to your question is no. Really, our focus at the national and federal level is working with trade associations like NHC (sic) [ NHMC ] to support supply-based solutions. We very much see ourselves as a creator of housing, most of our developments, we provide 20% to 30% affordable housing as part of that, that typically comes with the approval requirements. So finding ways that we, both individually at AvalonBay and as an industry can help support further supply is where we've been focusing our efforts.
Anthony Paolone: Okay. And just second one, can you give us bad debts in 4Q and '25 and then also the -- what's in your guidance for '26?
Sean Breslin: Yes, Tony, happy to do that. Essentially, where we ended up is right -- you said fourth quarter specifically?
Anthony Paolone: Yes, 4Q and then the full year in order to get some sense as to what '26 is and whether that's a headwind, tailwind?
Sean Breslin: Okay. Got you. Yes. So at a high level, so basically, for 2025, we ended at 1.6%. Our forecast is 1.4% for 2026. As it relates to the fourth quarter, which is normally a slightly higher quarter than average, that came in like 1.63%.
Operator: Our next question comes from the line of Haendel St. Juste with Mizuho Securities.
Haendel St. Juste: Two quick ones here. So first, wanted a little bit color on San Francisco, Seattle. Maybe you could talk a bit more about your expectation for tech employment growth there near term, lots of layoff announcements of late, AI headlines, software cons in the market. It seems like the situation is still evolving. Maybe it gets better, maybe not, but curious how you factor that into your employment outlook and rent expectations for those markets?
Sean Breslin: Yes, it's Sean. What I would say is the pace that we saw in the back half of 2025 is sort of what we expect to continue, particularly through the first half of '26. And then as Ben noted, a slight uptick in job growth for the forecast from NABE in the back half of the year, Seattle lost jobs in the back half of 2025. And then across the Bay Area, it's relatively flat. San Francisco was ahead, but San Jose and East Bay were a little bit behind. So that's sort of what's embedded in the forecast right now. What's important to note, in addition to actual job growth is wage growth, though, and wage growth continues to be pretty good. It's moderating a bit, but still pretty healthy, certainly healthier than what you might expect that's implied by our move-in rent change, but it's probably more consistent with what you would expect on the renewal side. So that's a key component that we monitor to make sure that existing resident capacity is there to pay higher rents.
Haendel St. Juste: That's good color. I appreciate that. One more, if I would. It sounds like one of the messages from this call is, this year is a bit of a transition year. The setup for next year looks more exciting, at least at this at this point. You mentioned inflection in your rent into the back half of the year, more development contribution. So I guess, overall, fair assessment. Is that a fair assessment? And would you say or how excited are you about the earnings inflection potential for the portfolio into '27? And then maybe some comments on the Sunbelt expansion market, how you expect those to play out in the course of this year and next year?
Benjamin Schall: There's a lot in there. I'll comment on part of it. And just given time, we can circle back with you, Haendel. In terms of the year, I really would bifurcate it in terms of sort of the internal growth aspects of it, the operating fundamentals are softer than we expected 6 months ago. Supply is, for sure, going to be a tailwind. And in a soft/uncertain demand environment, our view is markets that are going to be the relative winners are going to be those with the lowest levels of supply and we feel well positioned there both in the near term and for the foreseeable future, particularly given our suburban coastal concentrations. And then on the external growth side, yes, I mean you -- we consciously did provide more visibility to investors in our presentation about the ramping of activity, both development NOI and development earnings as we progress through 2026 and 2027, and that was intentional.
Operator: [Operator Instructions] Our next question comes from the line of Michael Goldsmith with UBS.
Michael Goldsmith: Can you kind of provide a breakdown of the performance between urban and suburban. And does that vary by the East Coast, West Coast and the Sunbelt markets?
Sean Breslin: And Michael, just so I understand what you're referring to. You're talking about revenue growth? Are you talking about rent change. Kind of what are you exactly thinking there.
Michael Goldsmith: Yes. Just the rent change, I guess, just trying to understand the kind of the performance in these markets.
Sean Breslin: Yes. What I can tell you in terms of, call it, submarket type for rent change, for the last couple of quarters, the urban portfolio has outperformed our suburban portfolio. One thing you have to keep in mind in that regard is it doesn't mean in absolute sense that those markets are healthier. You have to look at each one because in some cases, what's inflating that rent change in some of the urban submarkets is that they are less bad than they were a year ago. You have concessions for 3 months, another 2 months, that's an 8% effective rent change right there. So I would just keep that in mind as you think about it. So some markets are pretty healthy. San Francisco is looking very healthy. Some of that is concession driven, but it's also good lease rate growth. New York City is quite positive. But then there are places probably like Seattle, where it's still pretty soft, but concessions aren't as bad as they used to be. So just keep that in mind.
Michael Goldsmith: Got it. And my follow-up question is starts in the fourth quarter included a Kanso and a townhome community. So could there be more opportunities in these types that may be a competitive advantage for AvalonBay over other builders?
Matthew Birenbaum: Yes. It's Matt. I would say, yes. I appreciate the call out there. We do -- in our '26 starts, we do have another townhome BTR community planned, and we give another Kanso planned. So we are -- we have a wider variety of product offering to the market than what a typical merchant builder would provide. And as I mentioned in my opening remarks, we are trying to build to where we think future demand is headed and also access some of those maybe underappreciated niches, which also gets a little bit of an earlier question about kind of are we able to generate yields higher than maybe others, and that's all part of it.
Operator: Our next question comes from the line of Alex Kim with Zelman & Associates.
Alex Kim: Just piggybacking quickly off of that last one. You've highlighted BTR as a strategic growth channel. Just curious if you could provide more color on some of the yield differentials between townhome product versus traditional multifamily? And then how do operating metrics like rent growth, turnover, occupancy compare?
Matthew Birenbaum: Yes. It's Matt. I can speak to that a little bit, and Sean may want to as well. It's really too early to tell kind of longer term. I don't think the product's been around there long enough. We have a subset of our portfolio of its rental townhomes that we've had for quite a while, and those have generally tended to perform as well as or maybe slightly better than the communities to which they're attached. We have a number of communities where we might have 20, 30, 40 townhomes and 200, 300 flats. We have a few that are 100% townhome. But it does open up additional sites. And it also, we believe, is aligned for future growth better. One of the things we've said going all the way back to our Investor Day is, in some ways, we feel like our portfolio is better positioned for the next decade's worth of demand than the last decade's worth of demand. So there's not a whole lot of long-term history yet. The yields are kind of similar. The expense profile is different. It's less at the community level, more at the home -- individual home level, if you've got an actual dedicated BTR community. But we do think that it is a niche, which is kind of where the puck is headed in terms of future demand. And so we are very consciously trying to increase the proportion of our portfolio that will access that demand. They do tend to be older residents that do tend to stay longer. And over time, that should drive greater profitability.
Operator: Our next question comes from Alexander Goldfarb with Piper Sandler.
Alexander Goldfarb: Kevin, just a question for you on your commercial paper program. Traditionally, you guys have kept your credit line balance at 0. You've done prefunding for the development program. But since you launched the CP program a year ago, it's really definitely you've taken advantage of it, and it was -- it sort of jumped about $500 million from third quarter to fourth quarter. So is this sort of what you're using to help fund the development program? Or is this more like a warehousing for future bond deals? I know you guys just did a bond deal, but just trying to understand the CIP -- the CP program, which you're actively using versus traditionally the line of credit, which was almost always 0 at quarter close.
Kevin O'Shea: Sure. Thanks, Alex. So it's Kevin. Yes, we -- in terms of our commercial paper program, we've had it for a little while. As you may recall, we increased the size of it when we renewed our line about 9 months ago. And we did so very consciously because not only because of the relative attractiveness of short-term debt costs today, but importantly, because we felt there was room in our debt capital structure, particularly at this point in the cycle for more floating rate debt. And our other floating rate debt in our capital structure has slowly whittled down to about $400 million to where it is today. And we'd like to have more in commercial paper. It just happens to represent the most attractive form of floating rate debt. So our view was that we wanted to make more room in our capital structure for a little more than $400 million of floating rate debt and the commercial paper was the most efficacious way of getting that. And so we upsized our commercial paper. And so you're seeing us probably run with a slightly higher level of persistent commercial paper balances as a consequence of that. So it's probably going to run at least in the $400 million to $500 million range, most every time, flex up a little bit more or less depending on what's going on in our -- in funding the business.
Alexander Goldfarb: Okay. And then the second question is on stock buybacks versus development. I think in our numbers, we have you trading at sort of a high 5s implied cap, and you spoke about sort of low 6s on a development yield basis. It would almost seem like right now, the stock buyback is the more accretive use of capital. But as you mentioned in the guidance, there is nothing planned for stock buybacks. So can you just talk a little bit more about that, especially given your liquidity, would just seem like stock buybacks would be more advantageous in the near term given the current math, the spread between the 2?
Kevin O'Shea: Sure. So Alex, I'll say a couple of things, and Ben may want to chime in. Just from our point of view, our shares are terrifically attractively priced right now, probably an implicit cap rate in the low 6% range. If you look at our development start activity that we planned for 2026, the expected yields on that are higher at 6.5% to 7%. So for us, the opportunity to development or buyback activity isn't necessarily binary for us. We can do both. And as you saw last year, we did exactly that. So we do believe that the $800 million that we programmed in for this year starts are attractive. We also recognize that potentially doing additional buyback activity may make sense for us. But we've not woven into our plan for this year. It's something we'll look at as we proceed further into the year. But it's hard to sort of estimate what exactly you're going to get in terms of volume, price and so forth. And so our approach to that is likely to be more opportunistic, but we have the flexibility and the capital capacity to do both here.
Operator: Our next question comes from the line of Omotayo Okusanya with Deutsche Bank.
Omotayo Okusanya: Just a quick one. I wanted to go back to Haendel's question about the expansion market. And again, just given your outlook for those markets, how quickly you still think you might be growing over the next kind of 1 to 3 years in regard to exposure to those markets?
Benjamin Schall: Yes, it's a multiyear journey for us. As you know, we've been growing in our expansion markets now for 7 or 8 years. We're about halfway towards our target of 25%. And then there are certain years where either because of deal opportunities or more importantly, the relative trade as we think about redeploying capital from our established regions into our expansion regions, that has looked more attractive. So last year, we were pretty active on that front in terms of repositioning part of the portfolio. For this year, as you've heard, we're planning generally less transaction activity. On the buying side, it would be very selective, particularly given the opportunities of using disposed proceeds to buy back our stock. And then from a development perspective, as Matt mentioned earlier, this year, we have a heavier weighting towards our established East Coast region. So not expecting this year to be sort of a meaningful movement, but we'll continue over a multiyear period headed in that direction towards our targets.
Operator: As there are no further questions at this time, this now concludes our question-and-answer session. I would like to turn the floor back over to Ben for closing comments.
Benjamin Schall: Thanks, everyone, for joining us today. We appreciate the questions and look forward to seeing you soon.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference. Please disconnect your lines, and have a wonderful day.